Operator: Good morning, and welcome to the CubeSmart Third Quarter 2015 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Mr. Charlie Place, Director of Investor Relations. Please go ahead.
Charlie Place: Thank you, Danielle. Hello everyone. Good morning from Malvern, Pennsylvania. Welcome to CubeSmart's third quarter 2015 earnings call. Participants on today's call include Chris Marr, President and Chief Executive Officer; and Tim Martin, Chief Financial Officer. Our prepared remarks will be followed by a Q&A session. In addition to our earnings release, which was issued yesterday evening, supplemental operating and financial data is available under the Investor Relations section of the company's web site at www.cubesmart.com. The company's remarks will include certain forward-looking statements regarding earnings and strategy that involve risks, uncertainties and other factors that may cause the actual results to differ materially from these forward-looking statements. The risks and factors that could cause our actual results to differ materially from forward-looking statements are provided in documents the company furnishes to or files with the Securities and Exchange Commission, specifically the Form 8-K we filed this morning together with our earnings release filed with the Form 8-K and the Risk Factors section of the company's Annual Report on Form 10-K. In addition, the company's remarks include reference to non-GAAP measures, a reconciliation between GAAP and non-GAAP measures can be found in the third quarter financial supplement posted on the company's web site at www.cubesmart.com. I will now turn the call over to Chris.
Chris Marr: Thank you, Charlie. As I enter my 22nd year in the business, I find myself more excited and energized than ever about the opportunities in our industry. Against the backdrop of limited new supply, our people, commitment to customer service and our systems, are producing consistently strong same store results. Our investment team continues to source attractive acquisition opportunities in our core markets. Our value creation pipeline of purchase at CO and JV development deals continue to outperform our underwriting. Our third party management platform has grown to now having 191 stores under management, and we are on track to our most successful year in that program's history. Our 1,800 teammates here at CUBE are certainly pleased with the solid third quarter results, but rest assured, we are not satisfied. We will continue to focus on being the storage company of choice for our customers, the buyer of choice for our sellers and the investment of choice for our shareholders and bondholders. I will now turn it over to Tim, who will speak in more detail about our financial performance during the quarter, our successful bond offering and our upward guidance revisions. Tim?
Tim Martin: Thanks, Chris, and thank you to everyone on the call for your continued interest and support. As Chris touched on, industry fundamentals remain favorable and continue to be a tailwind. Our operating platform continues to deliver cash flow growth well in excess of historical levels, generating record occupancy levels and solid NOI and FFO per share growth. Our reported FFO per share as adjusted of $0.34 for the quarter was a penny higher than our guidance range, and represents 21.4% growth over last year. I would describe the beat to our expectations to be a very high quality beat, it came off entirely from revenue outperformance across both our same store and non-same store portfolios. Again this quarter, we continue to have gains in physical occupancy drive a portion of our 7.4% same store revenue growth, but the more impactful driver to revenue growth at this point is through gains and net effective rents. Strong core portfolio performance year-to-date leads to a significantly improved outlook on our expectations for the full year 2015, included in our release last evening, we updated and improved our guidance ranges on both FFO per share and on our same store operating metrics. Our FFO per share guidance increased to a revised range of $1.24 to $1.25, representing a meaningful 4% increase in guidance at the midpoint. We also introduced fourth quarter 2015 FFO per share guidance of $0.32 to $0.33. Our FFO guidance ranges are on an as-adjusted basis and exclude the impact of acquisition related costs, given the unpredictability and non-recurring nature of those costs. Strong core portfolio performance through our summer rental season, has led us to increase our same store guidance again this quarter. Same store revenues are now expected to grow 7% to 7.25%. Our NOI growth expectation has been increased 87.5 basis points at the midpoint, to a revised range of 8.75% to 9.5%. Our investment pipeline continues to build, and we are raising our targeted acquisition volume for the year to a range of $275 million to $325 million. Additionally, subsequent to quarter end, we sold all seven of our owned assets in El Paso, Texas; our last remaining asset in London, England, and one asset in Jacksonville, Florida, for aggregate sales proceeds of $47.1 million. Consistent with our historical practice, we include the impact of announced transactions in our FFO guidance, but exclude the impact of future speculative activity. On the balance sheet, we remained active using our after-market equity program, raising $80.2 million under the plan during the quarter. Additionally, subsequent to quarter end, on October 26th, we completed our third investment grade rated bond issuance, raising $250 million of 4% unsecured senior notes, due November 2025. The bond deal allowed us to lock-in attractively priced long term unsecured debt, and to extend our well-staggered maturity schedule, moving our weighted average years of maturity from 5.3 years to 6.4 years. We received tremendous support from our existing fixed income investors and also had some new names participate in the deal, so thank you to those who participated and welcome to the new investors, we look forward to keeping you updated on our business plan execution, as we go forward. Net proceeds from the offering were used to repay the outstanding balance on our credit facility, with the remainder earmarked to fund the portion of our investment pipeline. Echoing Chris's earlier comments, our industry and our portfolio continue to perform at record high levels, we continue to execute on all phases of our business plan, delivering strong internal cash flow growth, a disciplined external growth strategy and a conservative capital structure that we believe will continue to allow us to create value for our shareholders. That concludes our prepared remarks. Thanks again for joining us today. And Danielle, let's go ahead and open up the call for questions.
Operator: [Operator Instructions]. The first question comes from Gaurav Mehta of Cantor Fitzgerald. Please go ahead.
Gaurav Mehta: Yeah, thanks, good morning. Couple of questions on transactions. You raised your acquisition guidance for 2015. I was wondering if you could discuss what you are seeing in the market as far as product flow is concerned?
Chris Marr: Sure. Good morning. Yes, we are seeing quite a good amount of opportunity being stirred up by our investment team, again a mixture year of single asset transactions and small portfolios. So we are doing quite a bit of underwriting at this point, and obviously, our upward revision in guidance contemplates that we will be able to get a few of those transactions, that ultimately may send us across the finish line. So you know, not atypical for the business, we tend to see a surge of activity in the October to December timeframe, folks who have calendar motivations or tax motivations etcetera, and this year is no different. So actually, pretty pleased with what we have been able to dig up, and our team is doing a great job.
Gaurav Mehta: Are you seeing any large portfolios, or these are one-off transactions?
Chris Marr: It's a mix. So nothing significantly large, but it's a combination of single asset deals, two or three stores in the market, and a couple of opportunities out there, of a little bit larger size.
Gaurav Mehta: Okay. And then lastly on the sales side, you sold some assets and exited El Paso, Texas. Can you discuss if there are any other markets on the radar that you may exit in the future?
Chris Marr: Well, we are always looking at the portfolio. We’ve sold just shy of $0.5 billion of assets since 2010. So it's a constant evaluation. In terms of exiting markets, nothing else is on the near term radar. But we will continue to look at the portfolio for opportunities to redeploy.
Gaurav Mehta: Okay. Thank you.
Chris Marr: You're welcome.
Operator: The next question comes from Todd Thomas of KeyBanc Capital Markets. Please go ahead.
Todd Thomas: Hi thanks. Good morning. Just first question, I saw there were no additions to the [CFO] [ph] or development pipelines in the quarter. Is it becoming harder to find new deals?
Chris Marr: No, it’s becoming a little bit more challenging to find deals that make sense. But we are in process on a good number of things that we are underwriting and taking a look at. So I wouldn't read into that. It’s more just timing.
Todd Thomas: Okay. And then, I guess following up on that one property in particular, the Bronx facility. I know overall, in a historical context, the lease-up there, has taken place at a fairly rapid pace. But relative to last quarter occupancy, only increased 160 basis points, what's happening at that facility? Is there anything to read through from that, in terms of the competitive landscape in the Bronx, either from existing properties or other new developments?
Chris Marr: Yeah. I think you can read through that we are competing with ourselves. And so that store, by historical standards, is doing well, in comparison to some of the spectacular performance we have seen in Arlington and Long Island City, certainly looks a little bit weaker. But it’s again, as you pointed out, if you look at it historically, it’s performing quite well. But we are just competing with ourselves. We have quite a few stores around there, and we contemplated that, when we underwrote that deal. So I think our Tremont Avenue is doing at this point, pretty consistent with our underwriting.
Todd Thomas: All right. Then just one more if I could, Tim, the company has been an active user of the ATM over the last couple of years. If we think out over the next several years, is the plan more of the same? I think you're throwing off about $75 million of free cash flow this year, probably a higher number next year. Do you get to a point where you turn off the ATM? What's the longer term thinking here?
Tim Martin: Yeah, I think it’s completely dependent upon our pace of external growth. Obviously, the free cash flow is effectively the first source of equity, with quotation marks around it, and to the extent that our external growth surpasses our ability to fund the equity portion of our growth through free cash flow then we need to support that growth with equity. The ATM program has continued to prove to be an extremely valuable tool, because our growth tends to be, as you know, steady and less large massive portfolio driven transaction. So the ATM allows us to effectively match fund and to dollar cost average our equity issuances over time. And so, hard to predict how attractive external growth opportunities will be and what volume they will come in the future. But if history is a predictor, you would think that that external growth would continue to be supported by equity rates through the ATM program. That would be my expectation.
Todd Thomas: Okay. Thank you.
Tim Martin: Sure. Thanks.
Operator: The next question comes from Ki Bin Kim of SunTrust. Please go ahead.
Ki Bin Kim: Thanks. Could you just comment on -- if supply stays at this level, and I know that's a hard number to get to, but just call it 1%-ish, how long do you think this trajectory of high and elevated same store revenue can last in this sector? I mean, can it go 2016-2017? When do you think the curve starts to level off and maybe get back to normal?
Chris Marr: Hey Ki Bin, it's Chris. So I guess if we start by defining normal as the 20 year average, which is same store revenue right at around 4%. And then you look at -- again if supply stays low as you described, you think about the fact that for Cube at least, our rental rates today are only about 5% higher than they were in 2008. So again, we have -- it's not like it's a customer who is paying astronomically higher for our product than they were now almost eight years ago. So I think if you assume low supply, you assume no material impact to the wallet of our customer. I think you can continue to see very-very strong revenue growth through 2017. My eyesight doesn't go out much longer than that. Do I think it continues in the mid-sevens, I think that's challenging. I don't see it reverting though, back to the 20 year norm, mostly because you got a lot more sophisticated platform and customer capture and a big difference today between the smaller operator and the larger operator in terms of performance.
Ki Bin Kim: Okay. And just to follow-up on a previous question, on your acquisitions; could you comment on, I guess what you maybe call forward your one cap rate. And even your guidance that was increased up to $300 million of acquisition guidance, that implies that there is probably more in the fourth quarter, even beyond what you announced, and what you announced at subsequent events? What is out there that wasn't in the press release?
Chris Marr: Yeah, so, it does imply that. The fact that it wasn't in the press release, implies that we are not prepared to articulate exactly what it is. But there are opportunities out there that we are underwriting and hopeful about. So that point you are spot on. In terms of cap rates going into year one on what we have acquired, that was not an empty asset when we bought it year one, right around 2006.
Ki Bin Kim: Okay. Thank you.
Chris Marr: You're welcome.
Operator: The next question comes from George Hoglund of Jefferies. Please go ahead.
George Hoglund: Yeah. Just sort of a question on the asset sales; what was the driver of those sales, those particular markets, and what were the cap rates on the sales?
Chris Marr: Sure. The cap rate on the sale, right around 6.25, 6.5, in that range. The driver -- again, when you think about core markets for Cube, where we want to have a concentration, that was just not a market that fit our criteria. We had some CMBS that were cumbering those assets that had been paid off earlier in the year. So we saw an opportunity in the marketplace to exit ownership in that market, and we transact in.
George Hoglund: And those cap rates, are those on a trailing basis or forward?
Chris Marr: Basically, let's call it in place.
George Hoglund: Okay. Got you. And then, on the expense side, I mean going forward, I guess, obviously there will be some pressure on real estate taxes. But in terms of the other expense line items, I mean, since portfolios getting close to full, so I wouldn't expect too much for the increase in marketing expenses. I mean, where might we see other expense pressures or further expense savings going forward?
Chris Marr: I think you characterized the environment pretty well. I think shorter real estate taxes, if you combine all the other expenses, you're going to have seasonal items that relate to the harsher or milder winters, with snow removal costs or utilities. Longer term, I don't really see it for a necessarily near term 2016 issue, but longer term, the jobs report is very strong. Certainly, we are going to be in competition, more so going forward for our store level team -- there will be a more competitive environment for our store level teammates going forward. So you could think that at some point, that is going to create some potential for some more than inflationary type wage pressure. Other than that, it's almost an entirely fixed cost business that we are in. Marketing costs, I mean, I would caution there, we still need to rent a lot of units to maintain our occupancy levels. So I wouldn't expect to see a material change in our marketing spend either. So I think all of the things are generally inflationary, with the exception of real estate taxes, which are certainly not.
George Hoglund: Okay. Thanks guys.
Chris Marr: Thank you.
Operator: The next question comes from John Pawlowski of Green Street Advisors. Please go ahead.
John Pawlowski: Thanks. Good morning.
Chris Marr: Good morning.
John Pawlowski: A follow-up on the El Paso sales, obviously a lot of them encumbered, so you may have not been able to sell until recently. But any sense for the cap rate you could have achieved, call it this time last year on the seven assets?
Chris Marr: Not in terms of some exact number, but I certainly think that the cap rate, a year ago would have been wider than what we were able to achieve to that.
John Pawlowski: Wider by 10-20 bips?
Chris Marr: No. My gut would tell me wider more like by 25 to 50.
John Pawlowski: Okay, great. Thanks.
Operator: Next question comes from Jonathan Hughes of Raymond James. Please go ahead.
Jonathan Hughes: Hey. Good morning guys. Thanks for taking my question.
Chris Marr: Good morning.
Jonathan Hughes: Looking at the asset sales, were these sold at the package or individually, and did they approach you or did you market this portfolio?
Chris Marr: They were sold as a package. We marketed the opportunity, and ultimately, the buyer was interested in retaining CUBE as the manager. So we will continue to manage these properties going forward.
Tim Martin: And just to be specific, the package was the El Paso and the Florida asset. The London asset was in a separate transaction.
Jonathan Hughes: Okay. That's helpful. Thanks. And then looking at the JV development pipeline at $123 million, your commitment, I am just curious how big that will get, if you plan on one day taking a completely odd balance sheet?
Chris Marr: Yeah. In terms of size, we have been pretty consistent that in that 5% of gross assets, 7% of gross assets range. That's a comfort level we have for that type of activity. In terms of ultimately bringing it entirely in house, that is not on our radar screen.
Jonathan Hughes: Okay. And then I guess, one more, can you update on spreads on maybe CO deals that you are looking at now, versus some stabilized assets?
Chris Marr: No, things haven't. What we are looking at underwriting and what we are comfortable with, things haven't really changed that much. I would say the competition for assets being constructed for sale is certainly higher and more competitive today, than it would have been a year ago.
Jonathan Hughes: Okay. So spreads are maybe, say, 150, 200 basis points versus stabilized assets?
Chris Marr: Yeah. That's a fair range.
Jonathan Hughes: Okay. All right. That's it. Thanks guys.
Chris Marr: Thanks.
Operator: The next question comes from Paul Adornato of BMO Capital Markets. Please go ahead.
Paul Adornato: Thanks. I was wondering if there are any infrastructure items on your list, be it systems or technology that you're either undertaking or planning to?
Chris Marr: Sure Paul. As always, very-very long list of improvements that we can make in systems, both at the store level, as well as in the back office and at the operating level. And that's not new, they don't come and go away, they are just constantly being refreshed. So it’s an ongoing process. Our income statement, our balance sheet reflects an ongoing process of investing in technology, and that will continue.
Paul Adornato: Any lumpiness in that spend, or will be pretty steady?
Chris Marr: Pretty steady.
Paul Adornato: Okay. And just looking at new development? Appreciate the comments that you have made so far, but was wondering if you could tell us your assessment of total development nationwide, either as a percentage of existing stock or number of facilities. Do you venture a guess as to how much is being built?
Chris Marr: Yeah I think that 1% of existing stock seems to be a percentage that I think captures at least those stores that are in the top 30 or so MSAs. And again, I think it’s just incredibly difficult to get things done. We see it on the third party side, where we have contracts in hand to manage stores when they are completed, that are getting further and further behind, and getting their approvals and permits. We see it on a regular basis with our JV development pipeline. We see it even on -- where we are doing enhancements or complete renovations to existing stores. It’s just a very difficult time consuming and elongated process.
Paul Adornato: Great. Thank you.
Operator: The next question comes from Todd Stender of Wells Fargo. Please go ahead.
Todd Stender: Hi. Thanks guys. Your same store rents per square foot, you are now in the $15 range. It may actually be over $15 with the El Paso sale. But then your schedule rents are exceeding $16. What does the portfolio look like this time next year, and is this a metric you point investors to, when investors want to talk about the quality of portfolio that you have relative to, say, extra space?
Tim Martin: Hey Todd, it's Tim. I think certainly it is a metric that is -- that [indiscernible] a good sense of -- on a weighted average basis, across the country. The higher that number, the higher the waiting and higher rent markets, and higher rent markets generally are the markets that lead to higher operating margins. It’s not a perfect metric to gauge portfolio quality, but I certainly think it’s something that we look at over time, and to have moved that number up in our portfolio significantly from where we were, back in say, 2008. I think certainly, is mostly reflective of an increase in the quality of our portfolio on average, over that period of time. I think then relative to comparing one year to the next year, I think that's -- I think that is going to reflect solid growth in both asking rates. I think it represents solid growth in net effective rates, which then is an indicator of the quality of our ability to generate revenue growth through rate across the portfolio.
Todd Stender: That's helpful. And then just looking at straight acquisitions and also CO deals, what's your appetite to go outside of your historical push to stay in more of the top 25 MSAs? Do you have any feel for that, maybe acquisitions are getting a little more competitive, and that's going to push you maybe out into other markets?
Chris Marr: Yeah Todd; that's a great question. Something that we look at. To-date, we have chosen to be very focused on those top 20-25 MSAs in our acquisitions. I think if we move out of that, you know, what it ends up being, is we see a portfolio opportunity and a few of the assets in that portfolio may be out of that range. But we can get comfortable with the submarket or the market. But I would say, our focus continues to be, and I think will continue to be in the core MSAs.
Todd Stender: Okay. Thank you.
Operator: [Operator Instructions]. The next question comes from Jeremy Metz of UBS. Please go ahead.
Jeremy Metz: Hey, good morning guys. Had a little bit of technical difficulties there. I apologize for that.
Chris Marr: Don't worry.
Jeremy Metz: Obviously, you have been focused on pushing rents. Its clearly coming through here in your realized rent growth and the asking rent side as well, and based on prior calls, it does sound like that remains a focus. So I am just wondering, now that we are going into the slower leasing season here, will you look to pull back a little on the rent side, in order to preserve occupancy?
Chris Marr: Yes. As we get into this part of the season, we are definitely looking opening up the funnel on discounts, so where [ph] internet rates, looking at street rates. So the combination of levers that we have, that boil down to net effective rents, in order to hold on to as much as the occupancy gain that we got over the summer as possible.
Jeremy Metz: Okay. And I guess as a second part to that, I am guessing the portfolio was close to 94% and that has peaked this year, if not even above that, so just in terms of average occupancy; obviously, you can picture some further gains there. But how much absolute occupancy do you think is left at these levels? Do you see CUBE get into 95% next year?
Chris Marr: Yeah. I think that's possible. Again, it's going to come down that mix of occupancy driven growth relative to rate driven growth. But I think when you look at where we got to this year and those markets that have one more leg, assuming nothing unusually negative happens in those markets that have one more leg, I think that's not out of the realm of expectation.
Jeremy Metz: Okay. And Chris, if I can ask just one more on a bigger picture question here, given how well the portfolio has done and is continuing to do, do you look back and already regret not being more aggressive on the acquisition front, and if so, just how is that influencing how aggressive maybe you are going after deals today, if at all?
Chris Marr: When we look back, and you think about opportunities that you didn't elect to pursue at the time, there aren't many. I mean, I could name, but I won't. One or two specific opportunities in really great markets that we just didn't elect to pursue at the time, that made now in hindsight have made some great sense for us. But I think in general, we are pleased with the discipline and intent to remain so, going forward.
Jeremy Metz: Good. Thanks Chris.
Operator: We have a follow-up question from George Hoglund of Jefferies. Please go ahead.
George Hoglund: Hey guys. I had a question, just on new development in your markets. There is new supply that's coming, do you see a large difference in the impact on your existing portfolio, depending on who the -- basically, the operator is, of that asset? Meaning, basically whether its an asset that you guys own or control, versus an asset that is managed by or owned by one of the other public REITs, and versus sort of mom and pop or smaller, less sophisticated operator?
Chris Marr: Hey George, it’s Chris. Marginally, if a new store comes into the market and it's built in a good location, and it's of good quality and it can get market rents. We obviously see the impact, to some extent on occupancy. Generally more so, just on a lid on our ability in that existing store, that continue to grow rent until the new store gets to some level of some stabilized occupancy. We would just prefer to compete with folks, who are savvy and know what they are doing. You can imply that that means, whether we are running the store or a larger operator is better. But there are a few, smaller, local regional operators, who do a nice job, and can help the market. So I think, it’s really specific to the underlying asset and the underlying operator more than thematics.
George Hoglund: And when you look across your markets, where you are seeing new supply coming on; are the operators of these assets, would you say, more so your public peers. Or is it more so second tier operators?
Chris Marr: Its really submarket specific. Certainly, in the very high barrier to entry markets, it tends to be the public peers. In Texas, you tend to have Texas based operators. Those are probably the two extremes.
George Hoglund: Okay. Thanks guys.
Operator: A follow-up question from Ki Bin Kim of SunTrust. Please go ahead.
Ki Bin Kim: Thank you. Just a couple of quick ones; first it seems like kind of long ago, very few weaker margins you had in your portfolio with Chicago, on the same store revenue front. I guess, the tax is not surprising, Chicago will be Chicago. But, could you comment on, what is causing the -- somewhat weaker than expected performance or weaker than average performance?
Chris Marr: In Chicago?
Ki Bin Kim: Yeah.
Chris Marr: Yeah. So it’s not necessarily weaker than expected, but certainly it’s lower than the same store average on the revenue side. Not inconsistent with our other public peers who disclose market specific information. For us, I would say, it's a combination of two things; one, northside of Chicago, stronger demographics performing well. Southside of Chicago, a little bit weaker demographics, performing a little bit less than the north. Supply in that market, certainly has occurred. Ownership in that market has changed, so you see more REIT presence in Chicago than ever, and you got some new supply coming on, both from -- managed by the REITs as well as by some pretty savvy Chicago based or heavy Chicago investment operators. So I think it's a combination of southside underperforming the north for CUBE, new supply, and then even the existing supply being operated by more sophisticated owners.
Ki Bin Kim: Yeah. The reason I asked was, like you said, ESR also had similar trends in the Chicago portfolio. So I was just curious if that was a -- maybe a lead indicator for a market where, maybe, supply does come in? Is that what we can expect, if they had us through all the markets?
Chris Marr: I am not sure I would go entirely down that path, only because again, when you think about -- you go back in time, and obviously the growth rate is impacted by what happened last year. Chicago, not unlike Dallas, not unlike Washington DC metro, has been a continued very strong performer for the last five years. So I think what you are also seeing, is just a little bit of the lower beta.
Ki Bin Kim: Okay, got it. And just last one, could you provide any kind of a quick update on the [indiscernible], whether it'd be scheduled rents year-over-year or occupancy year-over-year?
Chris Marr: No. We are not beginning -- at that time. I would say, at the end of October, our same store occupancy was 100 basis points higher than at October of last year. So we continue to see -- we continue to see really solid performance, when you think about it from a revenue perspective. If you look back over the last few years, and you'd just say that 2013 same store pool, the revenue performance continues to be very-very strong, consistent with what we saw in the third quarter.
Ki Bin Kim: Okay. Thank you.
Chris Marr: Yup. Thanks.
Operator: A follow-up from Jonathan Hughes of Raymond James. Please go ahead.
Jonathan Hughes: Hey guys. Just one quick one. Looking at the CO deals that you are seeing out there, are you seeing any more lenders enter marketplace, looking to make development loans, or is that still holding off new supply?
Chris Marr: Same lenders at the margin, same issues. For the traditional lenders, the local and regional banks, it's a difficult loan to make. And at a 70% LTV, it's still a reasonable sized equity commitment for that developer. So having seen much relaxation at all in lending standards, certainly easier to get debt financing on cash flowing assets, than it is on new development.
Jonathan Hughes: Okay. That's it for me. Thanks guys.
Chris Marr: Thanks.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Mr. Marr for closing remarks.
Chris Marr: Okay. Thanks everyone for participating today. Obviously, we are incredibly enthused about our industry and our business, and we look forward to seeing many of you in a few weeks at NAREIT. Thanks and have a great rest of your day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.